Operator: Good morning, ladies and gentlemen, and welcome to the Village Farms, Internationals Third Quarter 2021. The results conference call. This morning, Village Farms issued a news release reporting its financial results for the third quarter ended September 30, 2021. That news release along with the Company’s financial statements is available on the Company's website at villagefarms.com under the Investors heading.  Please note that today's call is being broadcast live over the Internet and will be achieved for replay by both telephone and online beginning approximately 1 hour following the completion of the call. Details of how to access the replays are available in this morning's news release. Before we begin, let me remind you that forward-looking statements may be made today during or after the formal part of this conference call.  Certain material assumptions were applied in providing these statements. Many of which are beyond our control. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed or implied in forward-looking statements.  A summary of these underlying assumptions, risks, and uncertainties is contained in the Company's various securities filings with the SEC and Canadian regulatories. Including its Form 10-K MD&A for the year ended December 31st, 2020 and Form 10-Q for the quarter ended September 30th, 2021. Which are available on EDGAR.  These forward-looking statements are made as of today's date, except as required by applicable security laws. We undertake no obligation to publish the update or revise any such statements. I would now like to turn the call over to Michael DeGiglio, Chief Executive Officer of Village Farms International. Please go ahead, Mr. DeGiglio.
Michael Degiglio: Thanks. Good morning, everyone. With me today is Chief Financial Officer of Village Farms, Steve Ruffini, and also joining us again this quarter, is President and CEO of Canadian cannabis business Pure Sunfarms, Mandesh Dosanjh who will also join us for the Q&A at the end of the call. Just wanted to say congratulations, Mandesh. Yesterday morning he had is third child, a son, and he did manage to take a half a day off back to work.  Just wondering, so we're really proud of you with that commitment. And I will say that it's baby season here at Village. Just a number of folks that are pregnant maternity leave. My daughter had a son 2 weeks ago, so it's great to see as humans, I think the greatest of the greatest thing we do is produce offspring, so congratulations again, Mandesh.  For today's call, I'll begin with an overview of highlights of the financial and operational highlights across the business. CBOE review the financial results, I'll return with some concluding thoughts about how the future Village Farms is rapidly coming into focus. And then we'll open the call for your questions.  With that, the third quarter -- from my perspective as CEO, there are 4 key takeaways for me this quarter. Number 1, profitability, we generated consolidated earnings per share of $0.1 with 50% year-over-year growth in the consolidated adjusted EBITDA with positive contributions from each of the key businesses.  The continued operational financial performance of Pure Sunfarms with the market-leading brand in the largest and most profitable market segment, dried flour, all of which to date has been generated organically and internally with our vertically integrated operation. Three, the significant additional opportunity in the U.S. provided by balanced sale of botanicals, and accretive acquisition, which is already raising its growth profile on the Village Farms platform.  And four, our progress on emerging international cannabis opportunities. First take away profitability. Our third quarter was highlighted by strong financial results with overall positive earnings per share and 49% year-over-year growth in consolidated adjusted EBITDA, with positive contributions from each of Pure Sunfarms, Balanced Health Botanicals and Village Farms fresh produce, Pure Sunfarms delivered yet another record quarter since its entry into the retail branded market, late in 2019.  May I remind everybody that we were last in pretty much, so that's pretty impressive when you look at that timing. They were able to record net sales that were 53% year-over-year. Record adjusted EBITDA for Pure Sunfarms is up 93% year-over-year to 10.2 million Canadian dollars, and a very healthy gross margin. Branded and non-branded are 44% for the quarter.  I want to pause for a moment on the gross margin, which was driven by continued gains in production efficiencies and quality improvements. This is a crucial lever of our business model, in deed for any sustainable business. These efficiencies self-fund ample opportunities to invest in future growth organically.  And our gross margin performance of 39% for the first 9 months of this year clearly validates our ability to deliver on our 30% to 40% stated target range, gross margin, long term, especially as we increasingly capitalize on additional opportunities in important areas like new strain development, genetics, growing protocols, and increasing knowledge and understanding of the plant itself, both in cultivating it and what consumers really care about.  Balance Health also contributed positively to adjusted EBITDA for the just 6 weeks post acquisition EBITDA of 700,000 in line with our expectations. And Village Farms Fresh Produce also generated positive EBITDA in the amount of $1.42 million. Second takeaway, PureCel farms and the Canadian market.  During this quarter, Pure Sunfarms remain the top selling brand of dried flour in each of our key markets, Ontario, Alberta, and British Columbia, and a shipment we repeated again in October. In terms of Canadian cannabis market recently, we have seen some irrational. But for us, I think unsurprising dynamics reemerge.  During the third quarter, we saw very aggressive pricing, maybe desperate negative pricing tactics, probably tied to trying to buy market share or to clear out inventory to avoid write-downs or maybe even generated much needed cash. Even if that means doing so on profitably. Now we do know in CPG markets that buying market share is something that's normally done, but I think it's a different case here while these companies haven't shown profitability.  In an emerging industry that's still developing brand loyalty, the Pure Sunfarms team makes every strategic decision to balance market share and profitability, and most important being best-in-class. This is not an aspirational goal. We have organically driven 12 consecutive quarters of positive EBITDA with leading market share. Even as market share is being bored by competitor s through pricing or acquisitions.  And many would argue ill-conceived or overvalued or hastily transacted acquisitions. Pure Sunfarms branding position, everyday premium, coupled with deliberate investments in new product launches, production strains, and customer consumer insights were designed to create a growth business for the long term. 2 years of market share data prove our strategy is clearly working.  But we are not resting on our laurels, we are continuing to invest and innovate for future market share expansion. During the third quarter, we added more than 30 new SKUs in 4 product categories led by the launch of several new strains, including Black Cherry Punch and Jet Fruit Jelato both different and both high TAC offerings. And Q4 will be a similarly active quarter for new launches. We continue to learn and enhance processes.  A great example of which is the work we are now doing with hang drying on a large scale. Our initial trials went well. The conversion process has started and hang dried product will start making its way to market in Q4 with increasing scale coming on next year. Speaking of which in anticipation of continued growth in demand, we have commenced production in the first half of Delta 2 facility.  Pure Sunfarms second 1.1 million square foot greenhouse, which is adjacent to Delta 3. As previously reported, we started planting in September with the entirety of the first half of the facility to be fully planted out this month and initial harvesting also begin this month as per plan I've discussed.  As decision to expand production as a reflection, not only about confidence in the continued growth in demand for our products in Canada, including plan expansion of our market presence geographically, but also our plans for export markets. We expect the second half of Delta 2 to be ready-to-go in the second half of next year with some important enhancements to support the continued ramp up in the scale of the business as we prudently build for future.  Demand, all of which I will remind you is being funded internally. On that subject during Q3, Pure Sunfarms completed its first ever export shipment. A variety of high THC products throughout investing partner ALTUM International, for the rapidly growing Australian medicinal market.  Additionally, during the quarter, inspection of the Delta 3 facility for EU GMP certification was completed, which as delayed about -- which was delayed about 15 months due to pandemic travel restrictions. This is a critical step towards future potential sales in the European medicinal market.  Once certifications awarded, we could begin shipping product the following quarter to that region. And we will aggressively pursue these markets with the same tenacity and everyday premium strategy that has been so successful in Canada. I will note that we're not just targeting EU, we're also pursuing other international markets as well; first and foremost Israel, which is at the top of our list. All in all, Q3 was yet another excellent quarter for Pure Sunfarms.  Not only for its continued leading operational, financial, and market share performance, but also for the significant additional groundwork we have laid to build on this performance for many quarters to come. And I'd like to say kudos to Mandesh and his great team. The third takeaway is our U.S. opportunity in how Balanced Health Botanicals significantly strengthens that.  For our U.S. cannabis strategy, we took a major step forward during the quarter with the acquisition of 100% of Colorado -based Balanced Health Botanicals, which as I noted earlier, is already contributing positively to adjusted EBITDA. With the acquisition of Balance Health, Q3 Cannabis sales represented 43% of total Village Farms sales. And that was just a month-and-a-half of contribution from Balance Health.  Balance Health is a leader in the U.S. cannabinoid market with a diverse portfolio of CBD and other products distributed both online and in retail stores. It provides Village Farms with immediate access to the U.S. retail CBD market, expected to more than triple in size to $16 billion by 2025 from currently.  If e-commerce platform, CBD distilleries is a top-five CBD brand in the U.S. and top ranked website in the CBD category with more than 30,000 orders monthly and a significant repeat customer base. The BHP team is one of the most experienced, knowledgeable, and success in the industry, with a passion to continue to grow their current platform as part of the Village Farm's family we welcome them aboard.  And also Balanced Health has already taken exciting next step in their product strategy with the recent launch of their unique synergy collection, which takes the benefits of the entourage effect in their flagship CBD rich full-spectrum hemp extracts to a new level.  This is truly innovative in the CBD space, and I expect to have much more to share in terms of product innovation in the quarters to come. So it's a familiar play, but for those of you who have been following Village Farms transformation. Balance Health product categories are adjacent to our existing U.S. products portfolio.  And we strongly believe that when there is additional regulatory clarity around CBD, our existing relationships and experience with major grocers and large format retailers will be a major advantage in capitalizing on that opportunity. To summarize, Balance Health is a great fit for Village Farms portfolio. It is a leader and innovator in this high-growth category with a very strong, committed management team and a leading established online platform and profitability.  Together with our unmatched Texas assets, nearly 6,000,000 square feet, it provides optionality as federal legalized ITAAC regulations come to develop in the U.S. And of course, we're very encouraged by this past Friday's report that a new republican congressional ITAAC cannabis legislation may be in the works.  So fourth and final takeaway, steady progress on the prudent international expansion. Q3 source takes a meaningful additional steps forward in our international cannabis strategy. Leveraging our strengths to build brands in emerging legal, regulated cannabis with existing consumer demand. We took a major step forward towards participating in what we expect to be the first legal recreation of cannabis market in Europe.  This past September, we signed an option agreement which gives us the irrevocable right to acquire 80% ownership interest in Netherlands -based, Lilly Holland, Lilly is one of the 10 applicants selected by lottery to receive a license subject to customary government approvals, to legally cultivate and distribute cannabis as part of the Dutch governments, cannabis supply chain pilot program.  This investment will leverage Lilly’s local expertise along with our own experience in facility design and construction, and efficient large-scale operations, including product development, genetics, and strategy, both branding and marketing. We view this as another prudent and efficient deployment of capital with the potential for outsized long-term returns; including a springboard to possible other legal European wreck markets as they fully open.  Finally, with respect to emerging international markets, earlier I mentioned Altum's in-minute launch into the rapidly growing Australian medicinal cannabis market. This launch will mark Altum's first sales of ITAC cannabis products, and the third Asia-Pacific market in which it has commercial operations, in addition to Hong Kong and Taiwan.  To conclude on Q3, we saw a strong financial performance and strategic execution across each of these core growth areas. Now I'll turn the call over to Steve to walk through our financial results in more detail and then I'll return with some closing part, Steve.
Stephen Ruffini: Thanks Mike. Before I begin a reminder. Our third quarter 2021 results reflect the full consolidation of Pure Sunfarms business, was not wholly owned until November 2020, as we've been doing, we have provided segment reporting, historical 2020 and current 2021 for Q3. When looking at the Q3, 2020 standalone Pure Sunfarms financial results, please remember we could not consolidate Pure Sunfarms in our Statutory Q3 2020 financial statements.  We include them in the press release for comparative purposes only, as we believe it is helpful context as we discuss current business trends throughout this call. Turning to results, consolidated sales for the third quarter were $72.4 million, compared to $43 million for the same period last year.  The nearly $30 million increase was primarily the result of the consolidation of Pure Sunfarms in this year's results, as well as the partial quarter's contribution from Balance Health. We generated consolidated Net Income for the quarter of $700,000 or a penny per share which is essentially unchanged from the same period last year.  Consolidated adjusted EBITDA grew 49% year-over-year to $6.8 million from $4.6 million, was -- this was primarily the result of a 270% year-on-year increase in adjusted EBITDA, from our cannabis operations, which was partially offset by the decrease in Fresh Produce adjusted EBITDA.  Although positive, was down from the outsize number in Q3 last year when we were benefiting from a very favorable demand and pricing environment as a result of the U.S. lockdowns. Turning to business segment results, starting with Cannabis, which now reflect our combined Canadian Cannabis Operations, Pure Sunfarms, and our U.S. Cannabis Operations, Balanced Health Botanicals, which was acquired on August 16.  Accordingly, our Q3 2021 results reflect only about half of a quarter's contribution from Balance Health, which was still accretive to our consolidated results. Our total cannabis operations comprised 43% of total Village Farms Q3 revenues at $31.2 million versus nil in Q3 last year, for the reasons I mentioned earlier, cannabis adjusted EBITDA was $9.3 million, a nearly threefold increase from last year's Q3, U.S. $2.5 million.  To aid our investors and analysts in assessing the performance of Pure Sunfarms we've continued to break it out separately for the quarter and year-to-date. As we move forward with our cannabis operations, we report our cannabis operations by territory rather than legal business entity. We've already begun to integrate our Canadian and U.S. cannabis businesses and look forward to the collaboration between the teams. As Mike discussed, Pure Sunfarms delivered yet another strong quarter.  When comparing Pure Sunfarms results year-over-year or even sequentially, using Village Farms statutory reporting currency, which is U.S. dollars, it can be a bit tricky due to FX swings. For instance, the U.S. dollar strengthened versus the Canadian dollar in Q3, 2021 versus Q2 2021 by 2.5%. The relative weakening of the Canadian dollar  Pure Sunfarms U.S. dollar contribution attempt. When comparing U.S. dollar Q3, '21 Pure Sunfarms to U.S. dollar Q3, 2020 performance to Canadian exchange rates swung the other way as Canadian dollar was 5.4% stronger in 2020.  As such, when comparing Pure Sunfarms year-on-year, or quarter-on-quarter results, it's best to compare using its trading currency, Canadian dollar versus our statutory reporting U.S. dollar currency. In my comments today, all the period comparisons to be using Canadian dollar to Canadian dollar for the respective periods for Pure Sunfarms.  A total net sale for Q3 was $27.4 million U.S. or 34.5 million Canadian, which were up 53% year-over-year and up 13% sequentially. Pure Sunfarms retail branded sales, which comprised 66% of total Q3 sales, increased 91% year-over-year to $18.1 million U.S. or 22.8 million Canadian, was up slightly from our Q2 of this year.  As I noted on our Q2, 2021 earnings call, our retail business has returned to a more normalized pace with the worst of pandemic in the rear view mirror. But it is subject to win provincial buyers, execute their POs and when they received a corresponding shipment. We did ship several large branded orders in early October of this year that we had hoped would occur on or before September 30.  This timing difference means our retail branded sales in Q3 were a bit lower than our internal expectations. However, we have commenced with a strong start to Q4 and have resumed our strong growth trajectory in this channel. Our branded sales consisted of 89% flower and pre -roll SKUs with cannabis derivatives comprising the balance of our branded sales. Small format comprise roughly 50% versus our large format, which is also 50% with very similar margins.  Our large format sales are almost -- entirely consists now of single-stream -- the single-strain format which command similar margins to our small format flower SKUs. Our pre -roll sales grew over 24% sequentially, and we improved our gross margin on this format during the quarter as we have taken on the manufacturing in-house, that’s a pre -rolls carry a lower margin than our flower SKUs, at least as of today.  Q3 was a particularly good quarter for non-branded sales or wholesale sales, which was $9.3 million U.S. or 11.7 million Canadian, up from 8.8 million U.S. or 10.6 million Canadian increases the last year, and up from 6.4 million U.S. or 7.9 million Canadian in Q2 this year. And our highest quarter since we received our retail sales license from  as prior to the receipt of our retail sales license in September of 2019, obviously, all our sales by default were non-branded.  Our high-quality flour and trim, especially high potency strains continued to be in high demand from other LPs. We assess wholesale sales based upon product availability and always in the context of making economic and strategic sense for our retail branded business. We continue to expect wholesale sales will vary quarter-to-quarter depending on available supply and other LPs demand.  As you may recall, we do not assign any cultivation costs to our trends since we deem it to be a byproduct of our flower. As such, trim sales effectively have a high gross profit margin. Pure Sunfarms gross margin for Q3 was a very healthy 48% or 44% if one excludes the purchase price accounting, which I'll address in a moment. Up from 34% in Q3 last year, and up from 40% in Q2 of this year.  This was above our stated target range of 30% to 40% as the quarter benefited from improved production efficiencies led by an increase in yield, as well as, potency and consistency. Resulting in not only a lower-cost production, but also higher quantities of higher potency flour and trim, which increases our selling prices which are impacted by both potency and consistency. This is especially impressive as we roll out new strains.  As we have stated in the past, our cultivation will continue to evolve and we will continue to improve. That set our Q4 gross margin percentage will likely fall back into our target range of 30% to 40% as we expect an increased mix of our sales to be form of lower-margin cannabis derivative formats, as well as pre -rolls. As we launched new SKUs in these formats, and increase our market share in these form factors.  Also, our non-branded margin can be impacted quarter to quarter by the movement in some quarters of lower potency flower and distillate. As stated, potencies does impact price. As a reminder due to the acquisition of Pure Sunfarm's in November 2020, we were required to adjust Pure Sunfarm's inventory values to fair value, due to acquisition accounting, which impacts our statutory reported gross margin.  While the overall net purchase price adjustments to inventory was close to null in November of 2020 in the acquisition, As we wrote up flower and wrote down distillate and oil inventory on hand at that time. As such, we've adjusted our EBITDA for these non-cash fair market accounting adjustments.  The non-cash impact in Q3 was reduction in our reported adjusted EBITDA of $1.2 million as we sold off and or used some of the distillate in oil inventory we had on hand in November of 2020 in Q3, 2021. As of September 30, we have roughly $6.5 million Canadian left on our purchase price adjustment. Balance, which will gradually work itself off over in the following quarters.  Pure Sunfarms SG&A for Q3 was 5.3 million U.S. or 6.7 million Canadian, which equates to 19% of total sales. This compares to $4.4 million or $5.4 million Canadian or 18% of sales for the second quarter. The expected sequential increase is primarily due to an increase in brand and commercial activities, such as media and trade spend, as well as a larger workforce to support the increase in point of purchase, sales, and market share growth, especially in flower.  Pure Sunfarms delivered its twelve sequential quarter of positive adjusted EBITDA of $8.6 million U.S. or 10.9 million Canadian, which has nearly doubled that of 4.3 million U.S. or 5.6 million Canadian in Q3 last year and up 19% sequentially from the second quarter of this year. Our recently acquired U.S. cannabis, operations Balanced Health Botanicals performed in line with our expectations, contributing $3.8 million in revenue during the approximately 6-week post acquisition period with a positive EBITDA of 700,000.  As some of you have seen in commented online, we have filed our Form 8 with the historical financials for Balanced Health last week. Yes, 2020 was a rough year for  and the entire U.S. CBD industry, but as you can see from both the post-acquisition results and the first 6 months of 2021, which were also  Form 8-K last week.  The Balance Health management team has done a terrific job riding the ship and returning the business to profitability while continuing  article. We're very excited about its new synergy line and some other products that will be launched in early 2022. Turning to Village Farms Fresh Produce, I am pleased to report we continue to see the recovery of tomato pricing value I alluded to on our Q2 call, after one of the most challenging periods in the last decade.  Pricing is being helped as retailers and consumers return to normalized demands, which pre COVID was higher for our higher-priced, especially tomatoes than it was post - COVID, as well as supply issues being driven as the entire industry continues to struggle with the brown reduced virus.  Fresh Produce sales for Q3 were $41.2 million, a decrease of just 4% from Q3 last year when you recall, we were benefiting from significantly elevated pricing as a result of endemic in-sourcing demand driven by restaurant closures. We continued to utilize new message and procedures to manage the virus and believe we will see improved results from our  facility during this crop cycle, which is just now kicking in and will last through the second quarter of 2022.  I mentioned in the Q2 call, we expected to get back to breakeven for our Fresh Produce adjusted EBITDA in the second half of 2021, I am pleased to reiterate Mike's earlier statement, our Fresh Produce business generated positive adjusted EBITDA of $1.4 million in Q3. Although down from the outside level of Q3 last year during the period of elevated -- I mean pricing, it is very positive turnaround from a loss of nearly $4 million in Q2 this year.  Our Fresh Produce EBITDA is very dependent on pricing. But so far in early Q4, we continue to see better pricing is forecasted another quarter of positive EBITDA from this line of business. Finally, some comments on our Balance Sheet and cash flow for the quarter. At September 30, we had over $80 million in cash and close to $40 million of working capital, excluding cash on our consolidated Balance Sheet.  We did use over $30 million in cash for the Balanced Health acquisition plus transaction costs and spent approximately $4 million on capital expenditures on our production facilities during the quarter. Our operating cash flows from our business operations, excluding working capital, generated close to $5,000,000 for the quarter, while our working capital due to the ongoing expansion of our Canadian cannabis business did increase $10 million for the quarter.  Additionally, we paid down our produce and cannabis debt to the tune of $1.7 million during the quarter, and we purchased just under a 108 thousand shares tune of $1 million during the quarter under our normal course issuer bid as a reminder of decision to purchase shares under this program is opportunistic and tied into our broader capital and M&A strategies.  Most of the 75 million acquisition price per Balance Health shows up on our Balance Sheet as goodwill. Currently we are estimating the goodwill to be approximately 68 to 69 million as Balance Health is an asset-light business. There are now a lot of tangible assets to allocate the purchase price to, including inventory, which is being well managed and has a low days on hand.  As such, we will not have the fair market value adjustments we experienced with the full acquisition of Pure Sunfarms in 2020, corporate expenses skewed higher in this quarter due to approximately $1.6 million of incremental transaction and legal costs associated with the acquisition of Balanced Health in August, which accounts for the $1.8 million quarter-on-quarter increase in corporate expenses in Q3. And now I will turn the call back to Mike.
Michael Degiglio: Thanks, Steve. Still concluding thoughts. Over the past several years of future Village Farms has really come to focus. We are vertically integrated plant-based consumer products Company. Our target is high growth, large market opportunities in North America and around the world with a specific focus on cannabinoids, both high and low THC and related health products.  As such, it was the right time for us to unveil a new corporate branding that reflects a significant transformation of Village Farms just expanding its cannabis -- and cannabis born a half years ago.  So today we are branded consumer products Company that is leveraging our deep institutional knowledge and extensive capabilities gained over three decades. We have unmatched CEA assets to build on our proud heritage in the produce business through significant new opportunities in cannabis, CBD, and related products.  We are united by a new mantra, good for all. You can check out our new website, which is an expression of our unrelenting commitment to responsibility, resourcefulness, and integrity, as well as to continued leadership and innovation in sustainable agricultural practices, and the use of alternative renewable sources of energy.  It's good for our customers, good for our consumers, good for our partners, and good for employees. And it's good for you, our shareholders. In closing, let me reiterate my overriding objective, not just as Village Farms CEO, but as its largest shareholder sustained creation of real value over the near medium and long term.  Amidst what continues to be a flurry of changes in leadership, strategic direction, and business models and, repeated moving of the profitability goalposts, our Canadian cannabis operations have been able, with the benefit of decades of our operational experience and deep knowledge of the sector via the best leadership team in the industry, not just operationally, but in terms of consumer packaged goods know-how to focus on one single item.  The execution of our plan. This quarter is further evidence of this execution. Our dominant brand leadership has been built organically and profitably. Our disciplined approach means that strategic investments either, acquisitions or capital expenditures, are poised to grow as part of Village Farms platform and contribute positively to returns from day 1.  We do this by building on our heritage of 30-plus years, leading with sustainable business practices and preparing for multi-year growth opportunities across numerous cannabinoid categories ahead.  This is the power of Village Farm's execution of our plan. Building the right platform, executing on profit and market share. And what -- that's what really matters. So thank you. And with that, we'll open up some calls, questions for our Analyst. Operator.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session for the Analysts. Please limit the questions to 2. . You'll then hear a 3-tone prompt acknowledging your request and your questions will be pulled in the order that they are received. . One moment, please, for your first question. Your first question does come from Timmy Chen from BMO Capital Markets. Please go ahead.
Tammy Chen: Hi, thank you. Good morning, guys.
Michael Degiglio: Good morning, Tammy.
Tammy Chen: Morning. First question from me is, I'm just curious on the unbranded sales this quarter. One , that availability of high potency flower to your own retail segments, but instead to the other LPs, aren't you enabling your competitors?
Michael Degiglio: Well, that's a good question. We talk about that all the time, and there are a couple reasons as we gear up for Delta 2 from an operational perspective. We've always communicated that even with our experience when you're starting up, even with a change of crop, there's a lot of buildup in that operational efficiency you need. So we want to be able to continue to grow as quick as we can. We don't produce what we can't sell, no matter what the channel.  And once we get that penetration out there and continue to gain market share throughout Canada, then the -- obviously the priority will be the retail market, as opposed to a non-branded market. So it's a balance because keep in mind while others are closing assets we're continuing to build and we want to make sure that that operational excellence continues. So we have to move the product wherever we can.
Tammy Chen: Okay. My second question is, can you talk a little bit more about how you are regarding this current Canadian market in the sense that there is this increasing fragmentation we're seeing. You called out, very aggressive pricing, especially in this quarter. So -- can you talk a bit about how you see this unfolding over, let's say the near-term, like do you think this sort of pricing environment by your competitors is going to continue to be the case?
Michael Degiglio: Well, I'm going to turn it over to Mandesh for that answer because I might have a different point of view on how they operate from my brand vantage point, which is much closer to it on a quarterly basis. So Mandesh, first step.
Mandesh Dosanjh: Yes. Thanks, Mike. And I appreciate the question, Tammy. The answer is a part about what's happening in the market and Mike alluded to it in the comments. We're seeing some really interesting pieces of our competitors in terms of dropping price to the point where they're not making any money. And we see this to the activity on the wholesale side of the business.  The accretive margins, we see on selling product and to see LPs turn it around and sell it for a loss. I don't -- we don't think that's sustainable and we're already starting to see cracks in the foundation and the tide is turning. Most recently, we've seen products that were doing well in Ontario take price increases to the customer as high as 12% in the last few weeks.  So I think you're starting to see the requirement for LPs to have to start to turn margins around and either take price increases or change their product strategy. And so I think we're kind of pleased with EMEA in our performance and the growth in our gross margins; is that, one, we're built for the long term.  And two, if we want to start to invest in pricing, to try to come back to that win market share, we can. We haven't needed to do that to date, but we really like the leverage we can pull and the position that we're in. And then as we continue to see our growth improve roles and vape on the 2.0 side, competing more head-on, becoming now a top 5 in those customer segments.  We have a lot of kind of tools at our disposal to start to kind of combat what's happening in the market, but make no mistake, I think what you're seeing today is not good for the long-term of the industry. And we believe that those practices will start to cease or cause people to go under.  And it's the long-awaited consolidation that we've all been talking about. Mike, Steve, I'm not sure if there's anything else you want to add there on the market side, but those are my view points.
Michael Degiglio: Yeah. That covers it. And also Tammy, on your first question. We are still -- distribution channels drew the provincial governments and I think to a degree they're still ramping up so we can't always get the penetration we want, but you can see we've had -- in the last year, we've had sequential increases up at north of 40% on retail and that variation is a lot of variation still, quarter-to-quarter. But clearly as we ramp up, our focus is 100% retail brand. It's just going to take time. Thanks.
Tammy Chen: Thank you.
Operator: Your next question comes from Aaron Grey from Alliance Global Partners. Please go ahead.
Aaron Grey: Hi. Good morning. Thanks for the questions and congrats you Mandesh and . First question from me, I'd just love to double back on what Tammy just asked. Some of your peers have been talking about the return to brick and mortar and offering opportunity for some of the LPs to -- bigger LPs to regain market share they've lost in recent months.  Just from your perspective, are there any initiatives that you guys currently have in place as potentially get more brick and mortar shopping versus online, just so that you guys continue to outperform some of the other bigger LPs and continue to gain share going forward as people turn to in-store shopping? Thank you.
Michael Degiglio: Mandesh, do you want to take that?
Mandesh Dosanjh: Absolutely, Mike. Good question, Aaron. I alluded to it in the past quarter about what the opportunity has -- is a head for Pure Sunfarms and we're executing on that, which is great brand presence, really good recognition with, but tenders and consumers and we're seeing that brand growth and that brand resonance.  And last quarter I mentioned it, Steve, you even talked about on SG&A growing the team, continuing that presence on the ground in each of our markets, key markets. Continuing with our trade marketing activation on the digital front as well as in store, and really starting to continue to bring the brand to life at POs. Collaborative partnerships with our retail partners to ensure, bud tenders are engaged, know about all of our new skews, new launches.  The release talked about 31 new skews that we launched in the quarter, continuing that aggressiveness in growth into Q4, and making sure the product education is really known with the bud tenders. And that we're seeing that pull-through. We've seen really good progresses towards that, in terms of sell-through, sell-in. We're pleased with the talent that we're attracting.  And every time we go to market for roles across the country, the amount of people that want to join our organization because of the strength in our brand and the strength of our sales, people who are in the cannabis industry continue to want to come to work at Pure Sunfarms. So we're pleased with what -- everything we're doing on the build side, the team is executing really well.  Really strong digital programs as well as trade programs and outreach to consumers to continue to build that awareness. And a lot of collaborative partnerships with our retailers and boards to bring that forth so people know about the great skews we're bringing to market and continuing the momentum on our sales.
Aaron Grey: Great, thanks for that color Mandesh. And then second question on me on international markets. It seems like a lot of opportunity are there for you. For you guys can execute second mover advantage similar to what you did for the Canadian 1.05 market, which as you get that final GMP certification, you talked about Israel being the big market.  How can you help us to mainly quantify the opportunity there and how you're going to look to allocate flower between the Canadian market, between both the retail and wholesale opportunities, as well as international markets, especially if those offer potentially higher margin. Thank you.
Michael Degiglio: Well, I think, first and foremost, is Canada. Our priority was always being maximum penetration in Canada across the whole country. But that was part of the region we brought on Delta 2. Remember Delta 2 should yield even higher than Delta 3. We have a lot of capacity coming onboard and outside of Canada.  We've definitely year-marked export, both to Australia now and the EU as a priority if the margins are good. We know who's competing there, we know what the revenue numbers are and the margin growth. And it will be a key priority for us going forward next year.
Aaron Grey: Okay, great. Thank you very much.
Operator: The next question comes from Rahul Sarugaser, from Raymond James. Please go ahead.
Rahul Sarugaser: Morning, Mike, Steve, Mandesh. Congratulations on the great quarter and Mandesh, particular congratulations on your new arrival. Thanks for taking my question and I just wanted to go back again on the Canadian market and wholesale. As you referred to Mike, that there's a lot of irrational selling. I wanted to dig a little deeper on your strategy there because previously when this happened, you guys were able to sell into that market profitably and watch others essentially flounder.  Is your strategy, of course, beyond what Mandesh talked about in terms of the active selling, in terms of being able to be defensive, are you able to continue guiding the same margins you were able to before in both your unbranded and branded? Are you waiting out your competitors, or are you looking to do something proactive as you defend your states while they are -- while they -- the irrational selling happens?
Michael Degiglio: Well, I think I'll take a first stab at that and then give you Mandesh’s point of view. But look, there are a lot of drivers we want to be best, that's first and foremost, and market share is important, but profitability is important. We have to run the business as we see it in order to deliver on all these metrics.  The market is being measured in many different ways today, not just in market share, but in profitability and growth on a quarter and annual basis. So we have to take that on the account coupled with the increasing capacity that's coming online over the next 12 months and make decisions that do the best, but ultimately as I said, our goal -- why would our goal not be to sell 100% of our product.  We will never be 100 but let's just say 70% or 80% of our product retail at some point in time. I think any Company have environment a 100%. But keep in mind that all our non-branded are not necessarily to competitiveness. There are a lot of partnerships that we're trying to establish in Canada that have unique IP or a position, and building those relationships are good. And I'll let Mandesh provide some more color on that, which has managed.
Mandesh Dosanjh: Yes. Thanks Mike. I appreciate the comments of all and the well wishes. I think Mike nailed it there, is that there are strategic relationships on our non-branded side that we'll continue develop. And we've always said that there's going to be a portion that we sell into under that side of the business.  To strengthen overall profitability margin structure and the ability to invest in our business or brands or offerings, or people. And so we'll continue to do that. And relating -- the heart of what your -- part of your question is, given some of these things happening in the industry, what are we going to do.  But we always think about medium long-term success. There's no doubt some interesting things playing out. At the macro level, we love our results, profitability, and growth, love it. On the micro level, we see some interesting things happening at the provincial level. Does that mean we'll sharpen our pencil and jump in and wage some wars and battles?  We're not going to say no to that, but it's going to be done with that very strategic outlook on where we think we need to be and how we're going to continue to win in the market in the long term. I think we will we will pivot around, we will sharpen the pencil on some pieces. We love our growth in tree roles and vapes to prior mentioned categories that we were under-indexed on for our size and our growth. We think we have huge opportunity to continue to expand and scale that.  And again, Steve alluded to the growth we see in both those categories. And absolutely, I think the one thing that we've always been asked about is our ability to pivot and move with an ever evolving landscape, and I think we're the one producer in the space that have stuck true to our story and have showed that no matter what's happening in the market, we can continue to remain profitable and see growth regardless of the headwind.  And I think strong footing, strong foundation, we're going to pivot as we need to. And yeah, as these things unfold, we'll have some interesting viewpoints and do some creative things in market to win over consumers and continue that growth story.
Rahul Sarugaser: Okay. Thanks, Mandesh. So just a follow-up, moving to the international. Now recognizing of course, to move into Holland and the programs there, what we saw of course, with the lottery, a lot of density on experienced groups, securities, licensee, you're able to purchase one. We saw one of your competitors do so recently as well. Now of course, the piece of rollout of that will be dependent on how successful the pilot program is.  And of course, electronics being one of ten. How do you forecast that -- the potential success of that given that they're likely going to be a lot of under experienced players with those licenses at the moment, even if some of them are acquired by your competitors? And then how do you see that playing out over the long term? And then it on the second question is, in terms of international, given that we've seen a strong margin in the U.S. do you expect that those margins to be durable and how do you expect to see that play out over time?
Michael Degiglio: Well, I'll answer the first part of the question and turn it over to Mandesh for the second part. But on the first part, as far as Holland goes, I think what the Dutch Government is most helpful for us, that the surviving -- of the 10, they have enough capacity of the surviving members, maybe all 10 maybe just 6.  Because what they are really concerned with since it is an exclusive experiment for 79 coffee shops, is that there's enough capacity to provide the product to make commerce with those current 79 coffee shops that now buy from the illicit trade. Your point that some of them do not have experiences of concern.  But that may be an opportunity for us as well. We're looking at this as a first step in. There is a lot of writing at stake for the Dutch government to be successful here, and we may have other opportunities that present itself. We're going to do our part to make sure that it's successful, because I think this will be a stepping stone for many other countries in Europe to come.  We're focused on a rec side. We believe the strong play for the current medicinal market in Europe can be satisfied effectively, efficiently, and with the best quality product and right price out of Pure Sunfarms, we totally look for years at investing in the EU from the goods. We don't see it as a viable use of our capital when we can export.  This is different on the Rex side is where we want to be because this is a built-in consumer that we just got to change the landscape like we have done in Canada and leverage up the current model we have there. And we have long deep ties in the Netherlands as well. So we're very excited about that. As for the export side on margins and so on, Mandesh, do you want to comment?
Mandesh Dosanjh: Yeah. Rahul, can you just clarify the last part of your question? I want to make sure I clearly understand your question on the margin.
Rahul Sarugaser: Sure, one was what -- how do you see margins playing out in that Dutch market? Also we see relatively large margins out of Balanced Health in U.S. so I wanted to ask about durability of those said margins that you're seeing coming out of the U.S. going forward.
Mandesh Dosanjh: You mean the -- Mike can take that. I think Mike and Steve, you should take the U.S. margin questions on -- and potentially on the Dutch side as well before I take the --
Michael Degiglio: And we see the margins very strong in the Netherlands because the Dutch government is controlling price degradation. They don't want to open up that market to current non-users, and they are very cognizant of that. So I think there will be very strong price controls that keep that margin very high initially, at least during this experiment portion of the test. I'm not going to elaborate, but we've done a lot of homework on that.  We feel very solid. That's why one of the reasons we're making the investment is we believe we can get a return on our investment within the experiment, the 4-year experiment period. So that's a pretty -- actually less than the 4 years, so that should tell a story about how strong the margins are in pricing.
Rahul Sarugaser: Great, thanks very much, will get back in queue.
Michael Degiglio: Thanks.
Operator: Your next question comes from Doug Cooper from Beacon Securities. Please go ahead.
Doug Cooper: Good morning, guys. A couple of things. First of all, on the retail side, can you give us an indication maybe how many doors you expanded in the quarter? And did you have -- with aggressive pricing; did you have any degradation of your pricing in the quarter?
Michael Degiglio: Mandesh?
Mandesh Dosanjh: Yes. So no real degradation in the pricing, Doug. I think it's been commented that our overall pricing remains really strong and there was no major adjustments to price. Obviously, we're tweaking as we see fit. On the door side, Doug, I don't have that stat for you, but as retail doors continue to open up across the country, we continue to see our selling, the teams are tracking that.  Obviously, selling into the boards, it's a different relationship thing going direct. And my level on tracking to know the doors policies and I don't have that data for you. But the team is seeing and knocking on doors as new stores open, continuing to work with our key accounts and making sure our product offerings are continuing to roll out across the province.
Doug Cooper: Just moving to the whole document -
Michael Degiglio: Yes, Doug can I just add to that too. 1 thing I couldn't take away on that is, the last couple of years, what was really important was reporting revenues per se, and cost of production. And we've all stopped giving out cost of production out of competitive advantage. But in the margins that we communicated, a 44% blended. To get to a blended margin of 44%, you can interpolate what the retail margin may have been to get there. That's a little telling, to answer your question.
Doug Cooper: Moving to the wholesale side. And can you give us an indication maybe have how many different LPs you sold to in the quarter and how much was -- I'm assuming when you talked strategic relationships, maybe this means private label. Can you give us an idea of how much private label business you did in the quarter?
Michael Degiglio: I think there's pretty confidential, Doug, we'll have to talk to you offline on that.
Doug Cooper: Okay. Okay. Finally Quebec.
Michael Degiglio: You can ask another question if you want.
Doug Cooper: Any update on Quebec and when you might get into Quebec? And I'll leave it there.
Stephen Ruffini: Operator?
Mandesh Dosanjh: Mike, do you want to take the Quebec question?
Michael Degiglio: We couldn't hear it.
Doug Cooper: Oh, just wanted to know what the updated time you might be to move in to Quebec. Or plans.
Michael Degiglio: With respect to Que -- we're still -- we're still working on it. Just leave it at that.
Doug Cooper: Okay. Thank you. Thanks, guys.
Operator: Your next question comes from Andrew Partheniou from Stifel. Please go ahead.
Andrew Partheniou: Hi, good morning. And I want to echo my congrats, both on the professional and the personal side. As my perennial question on Quebec has already been asked, maybe switch over to your branding. You guys have done things a little bit differently on many different aspects versus a lot of the larger LPs is one of them is putting the full force behind one brand, Pure Sunfarms.  But now, just wondering how your thinking is around that one brand. If you're thinking about potentially another brand, as you guys work on R&D with hang dried or any other activities that might warrant a separation and potentially something new that could enter the market that's your own. And what that could do to price and maybe market share as well. Thanks.
Michael Degiglio: Well, only a connoisseur can drum up that question so I'll turn that over to Mandesh.
Mandesh Dosanjh: Yes. Thanks Mike, and appreciate the comments, Andrew. Sure. Absolutely. Being on restarted, being a branded house for efficiency and making sure we could build brand recognition loyalty across the consumer landscape and instill confidence, and I think we've done that. We've done that very, extremely well. And you're absolutely right.  This is the year that coming up that we're exploring; we're actively building and looking at brand extensions, as well as new entry points and brands to start to look at how sub-brands approach. It will all be done obviously very cost-consciously. And Mike alluded to it in his earlier comments, the expansion of hang dry. And so our continued investment in our production, operations basically translates to improve product quality.  It's always at the heart of everything; Pure Sunfarms does and will continue to do. So as we continue to make those investments, and we actually think they'll improve our costs and quality. Continuing to do them very streamlined and thinking about the long-term will open up opportunities for us, Andrew and we are actively looking at customer segmentation.  We believe there's an opportunity for us to continue our reach into stores, working with bud tenders and winning over consumers. And through brand extensions and new brands, it's absolutely something I think the customers should start to expect from Pure Sunfarms, actively exploring it.  We believe the time is right for it. Our product expansion our strain offerings, our overall quality will continue to be a big focus for what you see in 2022. That will absolutely lead to the potential for new brands as well as brand partnerships that we're being approachless and we continue to look to expand that and win over shelf space in the stores.
Andrew Partheniou: To the extent that you're comfortable talking about it, you mentioned brand partnerships. Is there a certain type of customer in term -- or partner that will be more favorable to you than others? Just to the extent that you're comfortable discussing, of course.
Mandesh Dosanjh: I think I can take this one, Mike. On the brand partnerships, absolutely, Andrew, I mean, the spot market and what we sell B2B, some of those are -- most of those are strategic, obviously some of them are tactical and opportunistic. And what you're talking about is whether its contract growing, contract manufacturing, working with brands that want to work with Pure Sunfarms.  And so for us it comes down to who -- we're just not going to work with anybody. We get approached daily, weekly, monthly for brands in Canada, brands outside of Canada, the want us to white-label and contract go for them. And it's a long process, Andrew. We want to make sure the value system, the way these partners are looking at the market and thinking about long-term success is aligned with Pure Sunfarms.  We're not going to invest the time and energy just to bring something to market to only see it fail. And so for us, it's about making sure we understand whoever we're working with and what their outlook is, and making sure we have in the aligned vision. And so we're obviously talking to various companies and making sure we see that.  Obviously, if an organization or brand has really good resonance with consumers it's always strong and attractive for us to work with them, to continue to build that landscape both ways as we bring any new entrants to market, we want to make sure that they're going to have the right resonance with the consumer. But also as we know that we will be the LP of record and we'll get tagged along with that.  And that also inspires great consumer confidence. So it's about finding the right partner with the right vision, the right belief, the right understanding of the cannabis landscape. We believe there are brands and products out there that meet that potential. And we're excited to see what happens in 2022 and how that unfolds. Hopefully that answers your question and gives you enough color about how we think about it. And we'll hope to see what 2022 holds. And I'm excited to see how that plays out.
Andrew Partheniou: Yeah, that's fantastic, Color. Thanks again, I will get back in the queue.
Operator: The next question comes from - the next question comes from Eric Des Lauriers, from Craig-Hallum Group. Please go ahead.
Eric Des Lauriers: Great. Thanks for taking my questions and offer my congrats as well. Both professionally and personally here. I'll be quick here. First -- first question I may just missed it but do you guys have an expected timing for when you might receive the GMP certification out and inspection is done?
Michael Degiglio: Yeah. We're thinking probably towards the mid late first-quarter, just due to delays. And so that's kind of feeling in the First Quarter. And if successful, which we are confident we will be, we hope to start getting very aggressive in the Second Quarter of next year.
Eric Des Lauriers: Great. I appreciate that. Then , looking in at the Pure Sunfarm's operations, and the impressive share gains that you guys continue to make here, do you talk about some of the cultivation improvements that you guys have seen since you started those operations? Whether that's in , potency, yields, efficiencies, just anything you guys can point to. I'm just wondering if this more of the same blocking and tackling and the market are moving towards? You guys, are using some bonafide by call patient improvements as well? Thanks.
Michael Degiglio: Yes, I may take that only because the secret source, so to speak, I think we've tried to be vocal with why we -- our strengths. And I think it's a clearly cumulative. It's not just one item. As often said, the cards were dealt with in Canada very restrictive on our cultivation side, the use of really know tools.  So just being much more proactive in decisions, great growing team, it's a combination of strains working together, techniques and processes. So really probably not going to say one or two specifically, but that's what we do. What we do good. Not patting ourselves on the back. It's just the duration of time to get here. So I hope that answers the question for Rahul.
Eric Des Lauriers: Thanks, guys.
Operator: Your last question comes from Scott Fortunes from ROTH Capital Partners. Please go ahead.
Scott Fortune: Thanks for the questions and congrats again. Real quick, the factors are keys to bring on the second half of Delta 2 here production. Do you need Quebec or the international supply agreements to churn on from that edge? How are you looking at the second half of production for Delta 2 here?
Michael Degiglio: We're confident. We -- as I said, we want to complete our geographical presence, but in Canada, we continue our penetration into those retail markets. And we were delayed with the EUGMP certification due to travel restrictions, which is now complete. The market is growing there. The market in Australia, for example, which is not a requirement for EUGMP certification is doubled  the market last year than this year, so we feel very confident.  And just keep in mind that the way we structured Delta 2, like Delta 3, is just roughly 16 grow rooms, 8 were -- are in full production this month. So even if we turn on half of the second -- half and each month, get our pulse of the export market, how we're doing, and domestic market. It's not like we have to turn on the whole half in one go. So that's the flexibility we have.  Last year in 2020, we kind of curtailed Delta 3 in the summer a little bit just to give us a breath and we can apply the same thing. So we're very confident, Scott, by year-end next year we'll be in full production. And we're probably estimating close to 200,000 kilos once we're fully ramped up from the two facilities,
Scott Fortune: Thanks on that color. And it really shifted focus here on the CBD Balance Health side and the digital expansion into Canada and EU, and timing potentially there. And then opportunity leveraging Texas assets or kind of using your retail relationships to expand into brick-and-mortar for them, I know there's a lot online with great margins. But how do you look at those opportunities going into 2022 for PureCel.  here.
Michael Degiglio: Yeah. Well, 2022, 2023, I mean, that's a 24 month period if we took the 2 years. So really, we had looked at one of many entry points into the U.S. and while becoming one of those was obviously buying a top brand, a cannabinoid Company. In this case, Balanced Health Botanicals. We watch our competitors probably in our opinion, just spent a lot to get there and the timing wasn't right and timing is everything. So we think the entry point was right.  We think evaluation was right for both companies and the location in Colorado also gives us a foothold to our high THC business that we're going to go forward with. And we just feel that even though the  have a first-mover advantage and the consolidation -- plus a consolidation goes on the U.S. market, we already see ourselves of having the optionality in the U.S. with only nearly 6 million square feet in Texas.  Even though the U.S. has a tremendously large potential for cannabis, there will be plenty of opportunities going forward, and we think even apart legalization, there'll be a lot of money thrown in there, a lot of bad investments right off, not unlike what we saw in Canada last 4 years. Our strategy will focus on the opportunities going forward, and BHP will play a significant role in that.  Their online platform, assuming that cannabis will be sold online, is second to none and so, one of a couple entry points for the U.S. We're being patient, watching legislation very carefully and then applying our strategically sound acquisition methodology going forward. We're excited about it and we're very happy about the BHP acquisition to start with.  Of course, clarity, whether the FDA gets clarity from Congress on CBD, we feel that's going to come maybe even part of a cannabis regulatory change. At that point, we'll be game on, on the bricks-and-mortar side. We're prepared for them.
Scott Fortune: Got it. Thanks for the color there, Mike.
Michael Degiglio: Yeah. And I think I just want to say I mean, when we looked at Village Farms today, I think a lot of investors are still seeing us from one lens. And BHP on its own competes with some of the largest brands in solely in the pure CBD market, both publicly and private companies. And they are just as good as anyone out there in my opinion and those top-tier companies. And they'll start proving themselves more and more both as part of the Village Farms family and on a standalone basis as well.
Scott Fortune: Thanks.
Michael Degiglio: Operator, that's it. That's it.
Operator: There are no further questions at this time. You may please proceed.
Michael Degiglio: Well, thanks, everyone. Appreciate their participating in third quarter and we look forward to reporting our year-end and fourth quarter results at the next conference call on very early March. Thank you all.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you very much for participating and ask that you please disconnect your lines.